Operator: Greetings and welcome to the JELD-WEN Holdings First Quarter 2017 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to John Linker, Senior Vice President Corporate Development and Investor Relations. Please go ahead, sir.
John Linker: Thank you. Good morning everyone. We issued our earnings press release this morning and posted the slide presentation to the Investor Relations portion of our website at investors.jeldwen.com. We will be referencing the slide during this call. I am joined today by Mark Beck, our Chief Executive Officer; and Brooks Mallard, our Chief Financial Officer. Before we begin, I would like to remind everyone that during this call, JELD-WEN management may make certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include remarks about future expectations, anticipation, belief, estimates, forecast, plans and prospects. Such statements are subject to a variety of risks, uncertainties and other factors that could cause actual results to differ materially from those indicated or implied by such statements. Such risks and other factors are set forth in our earnings release posted on the website and provided in our 10-K and final prospectus as filed with the SEC. JELD-WEN does not undertake any duty to update such forward-looking statements, including the guidance we are providing with respect to certain expectations for 2017 results. Additionally, during today's call, we will discuss non-GAAP measures, which we believe can be used in evaluating our performance. The presentation of this additional information should not be considered in isolation or substitute for results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their most directly comparable financial measure is calculated under GAAP can be found in our earnings release, which is posted on our website and Page 21 of this presentation. I would now like to turn the call over to Mark.
Mark Beck: Thanks, John, and good morning everyone. Thank you for joining us for our second earnings call as a public company. We are pleased with our first quarter performance and we believe these results show that our strategy and operating model are working. But before we get into the details and given at many investors are new to the JELD-WEN's story, I would like to step back and provide a brief overview of the company, our strategy and our operating model. Then I will turn the call over to our CFO, Brooks Mallard who will take you through the financials in more detail. Finally I will wrap up the call with our updated financial outlook for full-year 2017 before we open the line for your questions. I’ll start on Slide 4 of the presentation. JELD-WEN is a global leader in windows and doors with a broad product offering and a scaled platform. Operating 115 manufacturing facilities in 19 countries, we hold the number one position by net revenues in the majority of the countries and markets we serve. 67% of our revenues come from doors, 24% from windows and the remaining 9% from other building products. From a geographic standpoint, we operate in three reportable segments. North America is our largest segment followed by Europe and then Australasia. The majority of our business is tied to residential construction markets with about equal exposure to the residential repair and remodel market and the residential new construction market. We believe that the diversity of our mix across products, geographies and applications provides a competitive advantage and also mitigates business cycle risk. We have earned our leading market positions by offering well-designed high-quality products and by reaching consumers through multiple channels. We've also enhanced our strong portfolio of brands with six strategic acquisitions over the past two years. These deals are accretive to EBITDA margins and are expected to add more than $275 million in revenues this year. Now turning to Slide 5, I would like to highlight several reasons why I feel confident about the future of our company. First, we are in the early stages of an exciting business transformation began back in 2014 with a new leadership team. As you can see on the chart, we have delivered more than 670 basis points of margin expansion since 2013. Even so, we believe that there remain significant runway ahead for further improvements. Second, the company has great assets that provide a solid foundation for future growth and third we filled a leadership team with deep experience driving results at top-tier industrial companies and we're leveraging that experience to transform JELD-WEN into a world-class company. I’ll now get into some of the detail on how we are driving this business transformation on Slide 6. Our operating model starts with the foundation of talent management, our business system call JEM or JELD-WEN Excellence Model and enabling technology built upon that critical foundation we have our three pillars of operational excellence, profitable organic growth and strategic M&A. Within each pillar we have defined initiatives with clear ownership, action plans and targets. As we execute on these initiatives our goal is to deliver best-in-class financial and operational performance. During Q1, we made solid progress in all three pillars. First, our initiatives in the operational excellence pillar continue to build momentum. In the past few months, I visited multiple plants in North America, Europe and Australia and I saw firsthand the adoption of our JEM culture and tools in our operations. We see measurable improvements in safety, quality, delivery and cost. While we have a long way to go, I’m very encouraged by the progress I have seen and I’ll share more on our JEM business system in a moment. We also see that our global sourcing efforts are delivering cost savings in quarter one and we added even more cost savings projects to the pipeline. Additionally in the first quarter we commissioned a new state-of-the-art glass processing facility in Queensland, Australia to support our customers in the region. This new glass processing facility is our second in Australia and we expect it to drive significant cost savings and improved quality as we ramp to expected volumes. We've also continue to make progress in the pillar of profitable organic growth delivering another quarter of positive core growth. Since our last call, I have met with key customers in Europe, Australia, Canada and the United States. The recurring theme I heard was that they can see and feel the progress we are making in quality, service and innovation. Our recent product launches have been well received by the market including Woodview pre-finished doors in North America, the Charisma door collection in Europe, and the Alumiere window line in Australia. Lastly and for the third pillar which is strategic M&A we feel good about the deals we have done and the state of our pipeline. The integrations of recent acquisitions continue to be on plan and targeted synergies are being realized. Additionally, the M&A pipeline is healthy in all three reporting segments and we are actively evaluating several strategic bolt-on M&A opportunities. As we do, we will remain highly disciplined, stay true to our strategy and select only the best assets. On Page 7, I would like to highlight the JEM business system. JEM drives our operational excellence cadence, define how we work and is the backbone of our company. We now have over 80 full-time JEM professionals driving operational improvement across the company. We're building a culture around JEM by focusing on what we call the fundamental five JEM tools which are visual management, 5S, Standard Work, Basic Problem Solving, Model Area. We are still in the early days of embedding JEM in the DNA of the organization, yet we are already seeing it make a great impact. Turning to Slide 8 you can see that our business transformation has driven a substantial improvement in earnings and free cash flow in the first quarter. Net revenues increased 6.4%, adjusted EBITDA increased 32.4% with a margin of 9.5% and free cash flow increased $31 million. Brooks will now walk you through the quarterly financials in more detail.
Brooks Mallard: Thanks Mark. I will start on Slide 10. For the first quarter, net revenues increased $51.2 million or 6.4% to $847.8 million compared to $796.5 million for the same period last year. The increase was largely driven by core growth which I will address in a moment. Gross margin increased $27.8 million or 17.6% to $186 million compared to $158.1 million in 2016. Gross margin as a percentage of net revenue expanded 200 basis points from 19.9% in 2016 to 21.9% in 2017. The increases in gross margin and gross margin percentage were due to profitable core growth, improved cost productivity and the impact of our recent acquisition. SG&A expense increased $15.1 million or 11.4% to $147.1 million from $132 million in the same quarter a year ago. SG&A expense as a percentage of net revenues was 17.3% compared to 16.6% for the same period a year ago. The increases in SG&A expense and SG&A expense percentage were primarily due to legal costs of approximately $5.8 million, as well as increased audit and tax fees related to our recent IPO in year-end balance. Additionally, the acquisitions of Trend and Breezeway resulted in higher SG&A expense on a year-over-year basis. Net interest expense increased $9.9 million to $26.9 million from $17 million in the same quarter a year ago. The increase was primarily due to the write-off of $7 million of original issue discount and deferred financing fees related to the February 2017 repayment of $375 million of debt with our IPO proceeds. Net income increased $0.4 million to $6.4 million from $6 million in the same quarter a year ago. Net income in the first quarter of 2017 was unfavorably impacted by the previously mentioned items of financing fee write-offs and legal cost. Net income in the first quarter of 2016 included a favorable $3.6 million gain from the sale of property that was excluded from adjusted EBITDA. Adjusted EBITDA increased $19.8 million or 32.4% to $81 million from $61.2 million in the same quarter a year ago. Adjusted EBITDA margin expanded 180 basis points in the quarter to 9.5% compared to 7.7% a year ago. The increase in adjusted EBITDA and adjusted EBITDA margin was primarily due to profitable organic growth, improved cost productivity and the impact of our recent acquisitions. Slide 11 provides a buildup of our revenue growth. For the first quarter, the 6% improvement in our revenues was driven by 6% core growth comprised of a 2% benefit from pricing and 4% from volume and mix improvement. Recent acquisitions in our Australasia segment contributed another 1% to growth while the negative impact of foreign exchange in Europe reduced our total growth in U.S. dollar terms by almost minus 1%. The increase in volume mix was primarily result of increased shipping days in the first quarter of 2017 versus prior year offset by the unfavorable impact of North American retail channel door ordering patterns and year-over-year weather impacts in North America and Australia. We had four additional shipping days in the first quarter of 2017 compared to the first quarter 2016. The year-over-year benefit of shipping days will reverse in the fourth quarter. Next, I’ll move to the segment detail beginning with North America on Slide 12. Net revenues in North America for the first quarter increased $23.9 million or 5.2% to $484.1 million from $460.2 million in the same period a year ago. The increase in net revenues was primarily due to an increase in core growth of 5% comprised of an increase in volume mix of approximately 3% and an increase in pricing of approximately 2%. Adjusted EBITDA in North America increased $18.5 million or 58.3% to $50.2 million from $31.7 million in the same period a year ago. EBITDA margins expanded 350 basis points to 10.4%. The increase in adjusted EBITDA was primarily due to favorable pricing, profitable growth and cost savings initiatives. On Slide 13, net revenues in Europe for the first quarter increased $3.8 million or 1.6% to $242.3 million from $238.5 million in the same period a year ago. The increase in net revenues was primarily due to an increase in core growth of 6% comprised of an increase in volume mix of approximately 5% and an increase in pricing of approximately 1%. The increase in core growth was offset by the negative impact of foreign exchange of minus 4%. Adjusted EBITDA in Europe increased $2.5 million or 10.2% to $27.2 million from $24.7 million in the same period a year ago. Margins expanded by 80 basis points to 11.2%. On Slide 14, net revenues in Australasia for the first quarter increased $23.6 million or 24.1% to $121.4 million from $97.8 million in the same period a year ago. The large increase in net revenues was primarily due to a 12% increase from the recent acquisitions of Breezway and Trend, as well as 7% core growth and positive foreign exchange impact of 5%. The increase in core net revenues was comprised of a 6% increase in volume mix and a 1% increase in pricing. Adjusted EBITDA in Australasia increased $4.3 million or 48.5% to $13.2 million from $8.9 million in the same period a year ago. Margins expanded by 180 basis points to 10.9% as a result of profitable core growth and the accretive benefit of the Breezeway acquisition. Now I'd like to provide a brief update on our balance sheet and cash flow on Slide 15. Cash and cash equivalents as of April 1, 2017 were $185.5 million compared to $102.7 million as of December 31, 2016. Total debt as of April 1, 2017 was $1.2 billion compared to $1.6 billion as of December 31, 2016. In the first quarter, we received net proceeds from our IPO of $472.7 million and used a portion of those proceeds to repay $375 million of debt that was raised in our November 2016 dividend recapitalization. As of April 1, 2017 our net leverage ratio was 2.6 times compared to 3.8 times as of December 31, 2016. Our net leverage ratio is now within our medium term target range. Cash flow from operations improved $20 million in the first quarter of 2017 to minus $8.2 million from minus $28.2 million in the same period a year ago. This cash flow performance was consistent with our expectations as our first quarter operating cash flows are typically negative due to the seasonality of our working capital. Free cash flow improved $31 million to minus $18 million from minus $49 million in the same period a year ago due to improved operating cash flows and reduced capital expenditures. Our balance sheet remains strong and our capital structure liquidity and free cash flow generation continue to provide us with the flexibility to fund our strategic initiatives. I will now turn the call back over to Mark for closing remarks.
Mark Beck: Thanks Brooks. We posted strong results for the first quarter and we continued our progress in improving margins on a year-over-year basis. It's important to remember that we are still in the early stages of a multi-year turnaround. Our experienced leadership team and our operating model have us well-positioned to continue delivering operational and financial improvement in 2017 and beyond. Slide 17 and 18 highlight our framework for success and the multiple drivers for our continued revenue growth and margin expansion. Looking at revenue on Page 17, our long-term core growth target of 4% to 5% will be driven by attractive end market growth, pricing opportunities, continued innovation and channel investments. To complement our organic growth strategy, we have robust M&A opportunities. Our global platform, strong free cash generation and ready access to capital markets will allow us to be an active M&A player to further drive our financial performance. As we turn to EBITDA margin expansion on Page 18, we are focused on operational excellence opportunities through our JEM business system including cost productivity and strategic sourcing. We expect to see profitable organic growth from new products, share gains, pricing and operating leverage and finally our disciplined approach to M&A focuses on accretive transactions with attractive synergies. These factors drive our long-term adjusted EBITDA margin target of 15% or more. I’ll wrap up on Slide 19 with our updated outlook for full-year 2017. Our outlook is based on underlying market assumptions specifically that new construction and repair and remodel growth in North America and Europe will continue and that the housing market in Australia will soften. Our assumptions also include continued margin expansion by executing on the initiatives of our operating model. So for the full year we continue to expect total net revenue growth in the range of 1.5% to 3.5%. As we discussed last quarter we do expect revenue headwind in 2017 from portfolio rationalization and the impact of foreign exchange. These revenue headwinds will be offset by positive core growth and the incremental impact of 2016 acquisitions. Based on our strong margin performance in the first quarter, we now expect 2017 adjusted EBITDA to be in the range of $440 million to $460 million. This compared to our previous guidance of $435 million to $455 million. Lastly, our outlook capital expenditures is unchanged at $90 million to $100 million. In conclusion, I want to thank all of JELD-WEN's employees for their hard work. We would not be able to achieve any of these results if it wasn’t for their commitment and passion. With that, I'll now ask the operator to please open the lines up for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Bob Wetenhall with RBC. Please state your questions.
Bob Wetenhall: Good morning and congratulations on a phenomenal quarter. Just wanted to ask maybe Brooks if you could give me a little bit of a walk through trajectory and the cadence of the improvements you are anticipating in the second, third and fourth quarters that are implied by your full-year guidance? And what are the factors that would put you at the high-end of the range or the low end of the range as you go through the year?
Mark Beck: Bob, this is Mark, I'm going to go ahead and start this one off and then I’ll hand it over to Brooks to get into the detail that you just asked for. I think it is important to step back and just take a look at the annual guidance before we do the quarterly look. And as you might know you’ve heard us say before that it is our intent to provide annual guidance and update this guidance each quarter but that we won't be providing specific detailed quarter-to-quarter guidance. And the reason we do this is that while over the course of the year, things tend to even-out, we have seen that from one quarter to another things can be a little bit lumpy. And so while we had a very good first quarter, we will just remind ourselves and everyone it's still early in the year and there remains some uncertainties. For example, the downturn in Australia that we've been talking about for some time, it does appear to be starting March permits were down and so obviously starting to see when this might start to impact us and by how much. We are also beginning to see some pressure on material cost and while our sourcing program is going great, obviously inflation is always a bit unpredictable and of course FX is always an unknown that we have to pay attention to. So we are very confident that we can work through these headwinds and that's why we have raised our annual guidance by the $5 million. And now I'll go ahead and invite Brooks to comment a little bit without giving specific quarterly guidance, a little bit how it might play out throughout the year.
Brooks Mallard: Thanks Mark. So the way you think about it is, you know there's a few levers that are going to move the needle for us one way or the other. If you think about pricing, we did have some pretty good carryover in pricing in Q1 and that's going to moderate over the balance of the year and then I think the other thing is the operational initiatives. We have a few pretty significant operational initiatives that actually are going to be a little bit of a headwind through the middle of the year as an example if you think about the Australian glass plant. We're still in the startup phase there. We don’t have full production volumes although we are fully staffed and so that's a bit of a headwind from a productivity and a margin perspective. And so as we gain traction there and get to the second, third quarters, we should start to see some uptick as we get to the fourth quarter and exit the year. And I would say those are the - the big movers that are going to effect the moderation of margin expansion through the middle of the year before it starts to pickup towards the end of the year., And then obviously the shipping days is going to be one. There were more shipping days in Q1, less shipping days in Q4 so that's obviously going to affect the topline. When you think about what's going to put us at the upper end and lower end of the range, if you take outside the operational initiatives I’ll talk about, whether we gain traction faster or slower, I think some of the big drivers are going to be things like material inflation. We have seen some, I guess precursors to material inflation with some antidumping tariffs around steel and different things like that the Canadian software which actually doesn't affect us but you can just see these things out in the market. And how so how quickly this material inflation ramp up or does it ramp up. And then I think FX. If the euro and the pound, Australian dollar remain relatively moderate where they are now, that's good for us, if they weaken that’s up and that could lead us to the lower end of the range. So those are the factors that we really look at that got us between 440 and 460 number and that hopefully that gives us some sense of how we're thinking about the years going to transpire in terms of where we’re getting the margin improvement to the middle of the year, towards the back half of the year.
Bob Wetenhall: Got it. That's really helpful, Brooks. And the other thing I was - just one other question; actually two other, kind of a trick question. Can you talk about your expectations in terms of being able to realize price over cost inflation? And with that any comments on North American market share? On page 11 of your deck you show 3% volume growth. What is driving that? Is that share gains or is that just the strength in the market? Thanks and good luck next quarter.
Mark Beck: Thank you very much. So first on price versus material inflation, I think there is really three things that we would want to think about when we try and put this equation together and the third is our sourcing initiatives. And as you know our objective is to drive significant EBITDA expansion through our sourcing program. We believe that when you put the three together we will deliver significant bits of improvement. Price as Brooks mentioned will moderate through the year and we think as we get through the year we may see more pressure on material. So it maybe that in the prior half of the year price actually was greater than the material inflation, when we get to back end of the year that might invert. I think our best estimate at this point is we will balance one another out leaving us the opportunity to bring back to the company and to shareholders the value created from our sourcing program.
Brooks Mallard: And the only thing I would add to that is, if you think about material inflation in terms of transactional FX and we see that move around, we have the ability to raise price within the year even after we've gone out with the price increase to help offset that. So we do feel pretty comfortable that we’re not going to see any dilution from any material inflation increase but we can offset that where it starts to get a little bit kind of outside our normal bands of what we expect.
Bob Wetenhall: So, just to clarify, or just to confirm, you don't see any situation where input cost inflation creeps up against pricing and starts to dilute some of the operational improvement because you can take price ahead of cost inflation without a lag?
Brooks Mallard: That's our current plan is to not let that happen and that’s our expectation. Let me quickly jump on the second part of your - the third part of your question and then we’ll get to someone else. Around market share in North America, first of all I’d say as we think that, when we aggregate all the markets around the world, we think we’re basically keeping pace with the markets that we serve. When you get down to North America, I think it’s a little bit tricky. As you might recall, quarter one of last was very strong for the market. In general, it was very strong for us. So these are relatively tough comps against which we feel like we performed well. But I’m not sure that the resolution in our ability to see share can tell us precisely if we gain share or just kept up with market. We think it was a decent market, and it’s likely that we kept up with market maybe a little bit better.
Bob Wetenhall: Good, thanks and good luck.
Operator: Our next question is from the line of Mike Dahl with Barclays. Please proceed with your question.
Mike Dahl: Hi, thanks for taking my questions. Mark, just to pick up on the conversation around margins and your own operational improvement initiatives, it sounds like clearly this is a multiyear opportunity, but it sounds like as you've progressed through the past six months or so that the uptake and the progress you are seeing as you visit your operations is potentially running ahead of schedule. And I think you mentioned seeing opportunities for additional cost savings. So I was hoping you could give a little more color on that. Are the additional savings opportunities related to the sourcing initiatives? Is it related to more on the operational improvement side? And just how to think about maybe quantification of that.
Mark Beck: Thank you, Mike. Let’s step back, and I’d say that we have to be pleased with 180 beeps of EBITDA improvement. And as you know, we said many times, we target to deliver between 100 and 150 each quarter. And so 180 feels pretty good. And as we step back and look at why was that stronger than the 100 to 150 target, it really probably comes down primarily to a slightly better pricing realization than we had in the plan. And I’d say that our initiatives around operational excellence are right on target. My comments that during the opening of the call were really meant to indicate that I've been in a lot of plants, which I have, and it’s been great to get back into the plants after the IPO process. And very pleased to see that the fundamental five JEM tools are being adopted, they’re being used, and they're making a difference. But I would not characterize it as we’re running far ahead of our plan. I would say it's working. It’s working according to plan, but there are certainly pockets that are far ahead of the average. And then unfortunately, there’s always a few laggards, and, of course, we’re paying attention to those guys as well. In terms of productivity versus sourcing, which I think you alluded to, we would say that on the operational excellence success that we had in the first quarter, about 50% of that is coming from our sourcing initiatives and about 50% is coming from the more traditional productivity gains.
Mike Dahl: That's helpful. And then shifting gears. You talked about the Australian glass plant coming online. So hoping if you could give us a little more color on that one, what you expect the benefit to be. But also what are some of the additional kind of capacity investments that we should be thinking about over the next year?
Brooks Mallard: This is Brooks, let me take that. Based on how quickly it comes online and how quickly we’re able to get up to speed and I’m not going to quote a specific figure on the glass plan, we will give you some more color around how we’re thinking about. We've been spending the last 18 months or more building that plant. And as you get the plant online, there’s a lot of stuff that goes into the programming of the glass, and how you optimize the glass to the plant, and different things like that. And so you worked up to you really starting to move all your sourcing of all that glass both internally and then some of them we sell externally. You really start to move up the value chain there, or the supply optimization chain there to where you’re fully optimize. But that really takes a couple of quarters to get through. So once you get the plan operational which we did in Q1 of this year, then it takes another couple of quarters to really get your whole production scheduling and your optimized capacity to where you're getting a run rate. It takes another couple of quarters. So you really won’t see the full benefit of that till Q4 of this year, and we’ll actually see a little bit of headwind because there’s a significant fixed cost investment that you have there, as well as you’re staffing up for full production as you get everybody trained up and things like that. So I apologize for not being able to give you up a rock solid figure, but you should just think about it in terms of, as we as we go to Q2 and Q3, there’s actually going to be some headwind and some unfavorable productivity as we ramp up and then as we get to Q4. You’re going to see that really start to accelerate because you’re going to get all the cost savings associated with doing that internally versus getting it externally, as well as you’re going to leave some of those unfavorable variances behind that you experienced in Q1, 2, and 3. Hopefully that’s helpful.
Mike Dahl: That's helpful, it makes sense. Then last one for me. There was a comment about retail ordering patterns impacting 1Q. Could just clarify what you were seeing there, and have order patterns normalized as you've gotten into 2Q?
Mark Beck: I'm happy to do that, Mike. But I would tell you is that we always see -- out there in the Q&A session, I talked a little bit about lumpiness quarter to quarter. This is one of the dynamics that I was written referencing. We worked with all three of the largest retail outlets in North America, and we work with retail outlets in Europe as well. And they will adjust their inventory levels from time to time. And that will have a bit of a bullwhip effect on us, and we obviously respond and take care of our retail customers. And so the comment earlier was simply just some shifts in their desired inventory levels, and our need to adjust our production accordingly.
Mike Dahl: Okay, thank you.
Operator: [Operator Instructions] Our next question is from the line of Jason Marcus with JPMorgan. Please proceed with your question.
Jason Marcus: Going back to Australia for a minute, on the core growth there was very strong that you saw in the based and it picked up nicely from level leasing over the last year. Wanted to see if you could talk about some of the drivers that really stood out for you there and if there are any major differences as you look at the different end markets and product line. And I guess more broadly, if you could talk about the overall pricing environment in Australia. That’d be helpful.
Mark Beck: We really love our business in Australia. We have a fantastic market position. Our brands there are well known not only by the trade, but even by consumers in Australia. And what is happening there, first and foremost, you got to look at shipping days. We did have additional shipping days in Australia in this first quarter versus others. I would also tell you that in Australia, although we've been watching for and the industry prognosticators have been calling for this downturn, we did get through first quarter without feeling any real impact. As I said earlier, in March, the latest numbers from AVS show that permits are down. Obviously, that will likely translate into fewer starts and then will have an impact on our business as well, but that has not yet hit. We are very pleased with the acquisition we did of Trend, and have been able to realize these synergies both operationally and some revenue synergies associated with that. We completed the Breezeway acquisition which is also, it's a premier brand in that part of the world. And that's also on track in terms of synergy realization. And I think we’re executing very well just across the board from a commercial standpoint. So we feel like our business in Australia in spite of the fact that we’re likely be heading into some softness is executing well. Brooks, would you like to add something?
Brooks Mallard: Yes, the only other thing I’d add is I think last year, certainly for a lot of the year, Western Australia had a pretty significant downturn because of the mining industry and commodity just weren’t doing well. And so we have a pretty significant door business over there in Western Australia. And that has really recovered nicely in the first quarter as that comes back. So that’s been another pretty good driver for us in terms of the topline growth.
Jason Marcus: And then movement to North America. As you look at the windows business versus the door business, were there any major differences in terms of the demand trends that you saw, as well as what you saw from a pricing dynamic?
Mark Beck: I would say no there has not been any significant differences if you look at our windows business in North America versus our door business I think as we shared before the door business got started a little bit earlier on Jan and that's going well in both businesses. But from a demand standpoint it has been very consistent across both.
Jason Marcus: Okay thanks.
Operator: Our next question comes from the line of Nishu Sood with Deutsche Bank. Please proceed with your question.
Nishu Sood: Thank you. So the days – extra days of shipping, Brooks, I think you mentioned that that would reverse in the fourth quarter. Against the size of the sales, the quarterly sales cadence for the first quarter, what type of effect should we expect that to have on the fourth quarter?
Brooks Mallard: The good news is the shipping days is – happen primarily in January versus December which are really our lower shipping days of the year simply because of seasonality and holiday and differently things like that. But let me give you a little bit of a breakdown of Q1 kind of how we think about Q1 and the impact on Q1 and then hope that could lead you to the right answer on Q4 because I’m not trying to predict sales – quarter-to-quarter basis and we’re not providing guidance on that. So overall for the whole business volume was 4% and price was 2%. So we believe that the increase in shipping days in Q1 of 2017 over 2016 was about 5% favorable volume impact. And then that was offset in Q1 by the lower retail ordering patterns primarily for doors in Q1 and then some unfavorable weather particularly in the Northwest of North America and then also on the Coast of Australia where they had torrential rains. So from year-over-year perspective we think that was about a 2% headwind. So when you add all that up basically we’re looking at volume of 1% and price of 2% - you know 3% which is kind of at the top end of our 1.5% to 3.5% guidance that we gave for the year. So but when you think about it from a day perspective 5% is what we calculated into Q1. So I wouldn’t think it would be too far off of that when you think about Q4.
Nishu Sood: The margin improvement story is obviously going very well, but if you look at the sales, particularly in North America, against the cyclical backdrop for resi and non-resi. I think there is a sense, perhaps unfair if you compare it against your primary comp, that your sales have the potential to grow at a much faster pace if they are growing fully along with the cycle. The idea that perhaps the internal focus, and obviously you've been shedding some unprofitable lines, I think contributes to the sense of where some of that shortfall might be coming in. So my question is at what stage will you have progressed far enough in your margin improvement strategies such that your sales might begin to capture the cyclical revenue trends more closely?
Mark Beck: I think you’ve nicely articulated our strategy and we’ve provided guidance this year of this 1.5% to 3.5% range which we certainly acknowledge that the markets are a bit more robust than that. There's a number of reasons that we explained before – there is a business that we shed in Florida that's occurring in quarter two and has been proceeding in a very orderly way. There is also some top line FX headwinds that we have that we’re facing and you're right – over the last couple of years have been quite focused on EBITDA repair. But we have begun our investments in growth and those investments actually started at 18 to 24 months ago as we invested heavily in R&D and innovation. We've been investing in our brand. We've been investing in channel strategy such as our [TrueBlue] program. There is a bit of a lag on many of those types of investments when you spend on R&D it takes a while for those products to come to market. And then once they come to market there is this natural ramp process we typically look at a new product hitting its stride in the third year after launch. So we’re very pleased that we've double the number of new product launches from just three years ago and we’re pleased that we’re seeing our vitality index rising around the world, but they’re not yet driving significant kind of needle moving impacts on the top line but we think they will. And while we’re not yet giving guidance for 2018 I would expect our 2018 topline performance to be much closer to markets then this guidance we’ve given for 2017.
Nishu Sood: Got it that's very helpful. Thank you
Operator: Our next question is from the line of John Lovallo with Bank of America. Please proceed with your question.
John Lovallo: Thank you for taking my call. The first question is on the $5.7 million in legal costs. Was this related to Steves first of all and how should we think about this going forward and maybe an update on Steves would be helpful?
Brooks Mallard: Okay. So we can’t comment on ongoing litigation whether it’s in terms of the costs or what’s potentially going on with any litigation that’s active. I would tell you that – what will say is those are legacy legal costs. We do believe that they are temporary in nature we think they’ll be there for the balance of the year we do think over the medium and long-term that they will go away, that’s about all I can say about it.
John Lovallo: Okay. And then you guys mentioned a pretty robust pipeline for M&A. Are you guys seeing this from smaller private companies that you are looking at or are there larger maybe even larger public companies with windows and doors divisions that you think could be potential targets?
Mark Beck: Sure John this is Mark. We do have a very robust pipeline at this time as you might expect as we went through the IPO process so we had to take a little pause in terms of M&A, but coming off of the IPO. We got right back at it and of course a big part of our strategy is the cultivation of interesting targets. So we were out there visiting and meeting with folks that are not actually for sale but that we think would be interesting part of the JELD-WEN family. And so as a result of that cultivation that we've done now for a few years we’re able to step right back into M&A activity quite quickly. And we never will comment on anything until it's done because as you know on the journey to completing a deal there is as many roadblocks, but I'm very encouraged by where we are we got a number of very active situations. They are bolt on very strategic, but very close to the core and I would describe them as if you look at the six deals we’ve done in the last two years they look very similar to those. In terms of larger deals, we’re not afraid of larger deals at the right time and at the right opportunity comes along we would be interested in larger situations but at the moment we don't have any such situation in play.
John Lovallo: Okay thank you guys.
Operator: Our next question comes from the line of Keith Hughes with SunTrust. Please proceed with your question.
Keith Hughes: Thank you. Your comments regarding covered raw materials with pricing before they hit, was really interesting. Do you have pricing actions that are at or coming in the market before these come down the pike I just don’t see that in this industry as a whole lot?
Brooks Mallard: Well we look at it as Mark said in three pieces right. We have what we expect to see from an inflation perspective. We have what we expect to deliver from a pricing perspective. And then we have what we expect to deliver from a sourcing perspective. And as we pull plan together whether it's our financial plan or our commercial pricing plan we take all these things into account. And we try to make sure we have coverage on each end and so what I would say that there is two pieces of it right one is for normal kind of expected material inflation we feel confident we’re able to cover that. If you start to seeing material inflation creep outside those balance, if you start to see some things tick up than we certainly won't be afraid to go out with additional price increases as we thought it was going to cause us some margin dilution. So but I think based on the way that we planned it for this year and the pricing actions that we've taken that we’re in pretty good shape.
Keith Hughes: Okay, raw materials, I think they run about half the cost of goods sold. Can you just list off for everyone the top two or three that are most important for you?
Brooks Mallard: Yes, well you want the top two or three – that we’re seeing kind of the inflationary pressures or do you want to see the ones that are the most – the biggest piece of our spend I guess.
Keith Hughes: Probably the biggest piece if we’re looking in perspective.
Brooks Mallard: So glass, vinyl, wood products I mean those were all big – big pieces of the spent. I would say as you look forward from a material inflation perspective the two things that that are probably – first and foremost right now are steel where you're seeing some antidumping things going on with steel. So you’re asking a little bit of material inflation there and then I would say you’re starting to see some chemical inflation on things like resins and things like that. You start to see that creep up a little bit. This whole Canadian softwood thing doesn't impact us at all. We don't get any of that softwood so we’re not concerned about those tariffs, but those are three buckets that are the biggest spend for us. And then the ones we’re seeing material inflation I just listed if off so hopefully that gives you some color.
Keith Hughes: Yes, just the wood – just to clarify for everyone the woods, you are primarily in hardwoods, is that correct, and other waste woods and that all?
Brooks Mallard: Mostly hardwood so we’re not sourcing any meaningful amount of wood products out of Canada.
Keith Hughes: Right, thank you.
Operator: Our next question is from the line of Stephen East with Wells Fargo. Please proceed with your question.
Stephen East: Thank you. Congratulations, Mark and Brooks the EBITDA, 180 basis points up year over year, well above your target. As I sit here listening to you talk about the raw materials and pricing and the global sourcing, et cetera, it sounds like you think you all can continue to offset anything that's flowing through the channel. So the question here is the 180, if you look at it, is that something we should expect is sustainable as you go through the year? Or because of other issues that maybe I'm not quite clear on it drops back down into that 100 to 150 target?
Mark Beck: Yes, I think that we stay pretty committed to this 100 and 150 bps target, obviously we’re pleased to over deliver in quarter one. There is a number of things that can impact that – as we start some of our cost savings programs – the timing in which they hit can vary you might have a quarter or few hit all the same time and then you may have another quarter while you’re working up to you next big hitters. So I would not try to extrapolate the 180 and I think specifically the things that may not repeat. First of all as Brookes already mentioned price is probably going to moderate as we go through the year. And so I think I also said – that the main driver for the over delivery of the 180 was price and that’s probably not going to continue all year long. But there are other things again that, we’ve mentioned here on the call the start-up of the glass plant and then some of these other headwinds. So I think you should continue to forecast that will be in that 100 and 150 bps range.
Stephen East: Okay, thanks. And on that price, given that it looks like your businesses and the building products universe in general have started to see some nice acceleration. And it looks like most everybody has some pricing power. As you look at price moving through the year, do you think you have legitimate opportunities to price or is this sort of what you see today is what you get until we probably turn the calendar?
Mark Beck: Yes, well most of our price increases we go through a negotiation period in Q1 and we agree on what the price increase is going to be for the year. A lot of it is just published, some of it is more negotiated what you'll see us get additional price over and above those negotiations would be if we were to see some extraordinary material inflation or we were still to see some extraordinary FX moves that causes some transactional pain say in someplace like Canada or someplace like Australia. That’s where you would see us move pricing kind of out of period I guess would be the best way to put it, it kind of out of our normal pricing increase timing. So that's really the way it works from a timing and process perspective.
Stephen East: Okay thanks a lot.
Operator: Our next question is from the line of Tim Wojs of Robert W. Baird. Please proceed with your question.
Tim Wojs: Good morning nice job. I guess just first maybe on that last question, pricing moderating through the year. Could you just maybe give me a little bit of color on maybe where that slippage would come? Just with maybe raw material inflation being a little bit heavier in the back half of the year, I'm curious why we'd see a little bit of moderation in price. And then secondly, just on free cash flow is there a way to think about your expectations for the year on free cash flow generation?
Mark Beck: Sure so on price as Brooks said we publish new prices late in the year for our biggest customers we spend much of quarter one negotiating how much of that is going away to stick. And then those prices start to take effect in quarter two and beyond. And so in quarter one what we had was some carryover from the previous years’ price increases. And you may recall that if you go back for the last couple of years we were doing a larger than market price increases as we're playing catch-up and trying to reset pricing that where we thought that they should be. And so while we’re very pleased that we got what we think are our solid price increases going forward. They’re not quite as strong as what we had in the past so I think as we’ve talked about before that that was something that we had been expecting. And so that's why as we as we transition to kind of this next phase of price increases it's a little bit moderated from where we were. I think the most important thing for us is to get the market comfortable that every year to expect that there is going to be a price increase. And of course we’ll adjust that based on pricing not a pricing power, how much demand there is, and what's happening with raw material inflation. Brooks do want to talk about the cash?
Brooks Mallard: In general our expectation is that we’re going to deliver free cash flow in excess of net income on a year in and year out basis. And I would say that we continue to expect that so no difference. We were little bit light on CapEx spending in Q1. However, that was more due to timing we had some projects coming at the end of the quarter and we do have some pretty significant projects that are going on throughout the year. So we’re still comfortable in delivering free cash flow in excess of net income.
Tim Wojs: Okay. And since you guys don't guide to net income, is there any way to just think of maybe an absolute number?
Brooks Mallard: No we don’t provide guidance for that.
Mark Beck: Folks I think we’re out time, so let me just wrap up with a couple of comments. We feel good about Q1, we feel good about the rest of the year. We’ve raised our guidance accordingly. We want to thank all of you for your interest and for your support. And again I’d like to thank all the JELD-WEN associates for their hard work and diligence here in the first quarter. Thanks for coming to our call.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.